Operator: Good afternoon, ladies and gentlemen, and welcome to the Zumiez Inc. Second Quarter Fiscal 2013 Earnings Call. [Operator Instructions] Before we begin, I would like to remind everyone of the company's Safe Harbor language. Today's conference call includes comments concerning Zumiez Inc.'s business outlook and contains forward-looking statements. These particular forward-looking statements and all other statements that may be made on this call that are not based on historical facts, are subject to risks and uncertainties, and actual results may differ materially. Additional information concerning a number of factors could cause actual results to differ materially from the information that will be discussed is available in Zumiez's filings with the SEC. I would now like to turn the call over to Mr. Rick Brooks, Zumiez's Chief Executive Officer. Please go ahead, sir.
Richard M. Brooks: Thank you, and welcome, everyone. I'm joined today by our Chief Financial Officer, Chris Work. I'll begin today's call with some prepared remarks about the second quarter and then Chris will take you through our financial and operating highlights. After that, we'll open the call up for your questions. Sales results for the second quarter were within our guidance range. And while it is our objective to outperform this level of comparable sales growth, we're pleased with our execution in what proved to be a tough retail environment. Earnings in the quarter exceeded our projections at $0.16 per diluted share, bolstered by total sales growth of 17% and healthy flow-through to the bottom line. Now with the back-to-school selling season nearing completion, we have seen sequential improvement with a 3% comp in August, demonstrating that when the consumer is shopping, we are capturing market share through our unique product offering and sales experience. As we've said over the past several quarters, our focus remains on building a sustainable, long-term foundation for growth and we are making strategic investments, along with the continued development of our people, that we believe are critical to our ongoing success. To this end, we are dedicating considerable time and resources toward increasing the productivity of our current stores, developing a leading omni-channel platform and growing our footprint domestically and abroad. Let me just take a moment to update you on our progress. In North America, we continue to execute on the opportunity both in new markets and existing markets to build our portfolio of stores. This quarter, we opened 26 new stores, including 21 in the U.S. and 5 in Canada. We continue to plan our business in the U.S. to be between 600 and 700 stores long term, with our Canada store count to be approximately 10% of the U.S. In Europe, we opened one new store this quarter, bringing our global store count to 529 locations at the end of the quarter. We anticipate opening 5 stores in Europe this year. We view our European business as a long-term investment. And as such, our approach to growth in this region is deliberate and we're mindful of growing our business responsibly, keeping to our core values and expanding opportunistically to gain market share. The highly fragmented European market, we believe we have a great opportunity and the ability to extend our presence across the whole of Europe. And we remain optimistic about our positioning there. As we expand, we are evaluating the level of penetration we have in each of our markets holistically, meaning we consider web and retail in combination as we consider expanding our presence at any given market, allowing us to optimize our store portfolio, increase store productivity and target the right return on our investment. Our goal is to reach all of our global markets with the right number of highly productive stores and a strong omni-channel presence that seamlessly extends our culture and our unique perspective on the action sports market wherever and whenever our customer interacts with us. To that end, over the last several quarters, we have made considerable investments in our ecommerce channel, including the launching of new websites for both zumiez.com and blue-tomato.com in the second quarter. The launch of these sites enhances our omni-channel business by giving consumers quick, easy, 24/7 access to our highly differentiated assortments of products while enhancing the buying experience. In the short term, there could be variability in our sales results, particularly if our consumer reverts to pre-back-to-school shopping levels. However, we feel confident in our positioning for the back half of the year and believe our recent comp performance reflects the strength of our product assortment and our people as we finish the back-to-school season and prepare for holiday. As a management team, we plan our business for the long-term. The investments we are making now towards strengthening the foundation of our business are born out of our ambition to be the leading, branded action sports lifestyle retailer in each of the markets we sell. With each step we take towards that end, we are cognizant of the culture, people and unique approach that are fundamental drivers of our success to date and which we believe will be critical to our success in the long run. With that, I'll hand the call over to Chris.
Christopher Codington Work: Thanks, Rick. Good afternoon, everyone. I'll briefly review our second quarter results, go over our August sales results, review our guidance for the third quarter and provide some insight on the back half of 2013. Second quarter net sales were $157.9 million, up 16.9% over the second quarter of 2012. Breaking that down by region, North American sales were up 13.7% and European sales were $6.0 million in the quarter. Same-store comps were up 0.9% in the second quarter and comparable ecommerce sales, which are included in our consolidated comps, increased 19.1%. ecommerce represented 8.8% of our overall business in the quarter. In terms of category performance, hardgoods, juniors and footwear were positive. While accessories, men's and boy's comped negative. Our top line also benefited from having 52 additional stores in the 2013 quarter compared with the year-ago period, and the impact of the calendar shift will be in the first week of back-to-school into the second quarter. Gross profit was $55.1 million in the second quarter of 2013 compared to $46.4 million in the second quarter of 2012. Gross margin was 34.9% in the quarter compared to 34.4% in the year-ago period. Gross margin improvement in the quarter was primarily a result of $0.5 million in prior-year costs associated with the relocation of our ecommerce fulfillment center and $0.5 million in prior year inventory step-up costs in conjunction with the Blue Tomato acquisition. Consolidated product margins were down slightly in the quarter. SG&A expenses for the quarter were $47.3 million or 29.9% of net sales compared to $42.6 million or 31.6% of net sales in the 2012 quarter. Included in SG&A in the current year period is $1.7 million in Blue Tomato acquisition-related costs made up of $1.0 million of contingent incentive payout accruals and $0.6 million for the amortization of intangible assets. Included in SG&A in the prior year is $2.4 million of Blue Tomato acquisition transaction costs, as well as incentive payout accruals in the amortization of intangible assets. Also included in the prior year is $0.8 million of costs for the relocation of our corporate office. SG&A decreased as a percent of sales in the quarter as a result of the net reduction in these costs and leverage of our cost structure on a 16.9% increase in sales. Second quarter operating profit was $7.8 million or 5% of net sales compared to $3.8 million or 2.8% of net sales during the second quarter of last year. This brings us to net income, which was $4.7 million or $0.16 per diluted share in the second quarter compared to $2.1 million or $0.07 per diluted share during the 2012 second quarter. Included in the results for the 2013 second quarter are costs of $1.7 million or about $0.04 per diluted share related to the Blue Tomato acquisition. Included in the results of the prior year quarter are Blue Tomato acquisition-related costs of $2.4 million or $0.06 per diluted share and $1.3 million or $0.03 per diluted share of costs associated with the relocation of our ecommerce fulfillment center and corporate offices. Moving on to balance sheet highlights. We ended the quarter with cash and current marketable securities of $95.0 million, down from $96.8 million a year ago. This decline was driven by capital expenditures related to new store growth and approximately $30 million paid to repurchase our common shares, partially offset by cash generated by operations. As of the end of the quarter, we had $2.1 million in outstanding debt assumed from Blue Tomato and no outstanding balance in our revolving credit facility. Capital expenditures in the quarter were $8.1 million, primarily driven by the build-out of new stores. Inventory increased to $113.2 million at August 3, 2013, up 13.6% from $99.7 million at July 28, 2012. Throughout the year, our inventory balance may be impacted by the shift in the calendar, resulting from the 53rd week fiscal 2012. Inventory per square foot was up slightly, and we remain confident in the quality of our inventory as we move into the back half of the year. Year-to-date, we have repurchased approximately 0.2 million shares of our common stock for an average cost per share of $22.36 for a total of $3.7 million. As of August 3, 2013, we had $12.5 million remaining in our stock repurchase authorization. Now to our August results. Our comparable store sales increased 3% for the 4-week period ended August 31, 2013, compared to the 4-week period in September 1, 2012. In the prior year, comparable store sales increased 3.7% for the 4-week period ended August 25, 2012. Total net sales for the 4-week period ended August 31, 2013, increased 14.3% to $85.9 million compared to $75.2 million for the 4-week period ended August 25, 2012. The increase in comparable store sales in the period was driven by an increase in comparable store transactions and an increase in dollars per transaction. Dollars per transaction were up for the 4-week period due to an increase in units per transaction and an increase in average unit retail. During the 4-week period, juniors, hardgoods, accessories and men's posted positive comps, while footwear and boy's posted negative comps. Year-to-date, 2013 comparable store sales increased 0.8%. Turning to guidance. As always, I'd like to remind everyone that formulating our guidance involves some inherent uncertainty and complexity in estimating sales, product margin and earnings growth, given the variety of internal and external factors that impact our performance. Before I delve into the guidance for the quarter, I want to just reiterate the comments Rick made earlier. As our August results demonstrate, when our customer has a reason to shop, we believe we are a prime destination for them. While our sales results have improved in this peak selling season, our outlook for the remainder of the year remains cautious, particularly during the non-peak periods, as we estimate there may still be volatility in the consumer shopping behavior. Likewise, because this is a heavy investment year, we do anticipate that the strategic initiatives we are currently undertaking to build a strong foundation for sustainable future growth will, in the short term, create some drag on our margins. With that in mind, we are planning third quarter comparable store sales to be in the range of flat to an increase of 2% and total sales to be in the range of $187 million to $191 million. We expect consolidated operating margins to be in the 10% to 11% range with diluted earnings per share between $0.39 and $0.43. Included in our third quarter guidance is an estimated $1.6 million or $0.04 per share in costs associated with the acquisition of Blue Tomato, consisting of $1.0 million in the contingent incentive payout and $0.6 million in intangible amortization. As a reminder, the calendar shift resulting from an extra week in fiscal 2012 will impact sales results by period and quarter throughout the year. In the third quarter, we estimate an unfavorable impact of approximately $7 million as the back-to-school sales week moved out of the quarter into the second quarter. Now a few comments on our thoughts for the year in total. We are planning our comparable store sales to be positive in the back half of the year. But as I mentioned, we are being cautious with our outlook and we believe our 2013 comp growth will be lower than 2012. Our current projections for 2013 product margins, excluding the impact of inventory step-up in the prior year, are flat to down slightly. We have been making strategic investments that we believe will reap long-term benefits, focused on enhancing the customer experience across multiple channels, growing our international footprint and investing in our people and infrastructure to support our domestic and international growth in 2013 and beyond. We expect these investments to deleverage our overall gross margin, as well as SG&A for 2013. However, to the extent we achieve positive comparable store sales for the year, we expect operating profit to increase. The extra week in fiscal 2012 will impact the fourth quarter unfavorably as it is a 13-week period for the year compared to 14 weeks in the prior year. We are currently planning to open 58 new stores in 2013, including 9 in Canada and 5 in Europe. Through August 31, we have opened 42 stores, including 8 in Canada and 2 in Europe. We estimate our net store growth after closures to be 52 to 54 stores. As a reminder, we have removed the 2 seasonal Blue Tomato stores from our total store count, as these stores are not representative of our full-line store base. We expect capital expenditures for the year will be between $36 million and $38 million, a decrease from $41 million in 2012, and will primarily be the result of new store openings and planned store remodels. We also expect depreciation and amortization to be approximately $27 million, an estimated 16% increase over fiscal 2012. We anticipate our annual effective tax rate to be consistent with our fiscal 2012 results. Finally, our weighted average shares used in the calculation of diluted earnings per share for the full year is projected to be approximately 30.3 million shares, which includes the impact of the 0.2 million shares repurchased year-to-date. Any additional share repurchases during the year from the $12.5 million remaining in our authorized repurchase program will further reduce our share count. And with that, we will now open the call up for your questions.
Operator: [Operator Instructions] Our first question comes from the line of Sharon Zackfia with William Blair.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: I guess, I actually wanted to ask more than one question. I just wanted a clarification on Blue Tomato and how the revenues trended in this quarter. I think it's -- the -- well, you lapped the acquisition at the beginning of July, so just any clarity there? And then secondarily, I guess in terms of the trends you're seeing, it sounds like you had a good August and you want to be conservative on the thought process going forward. I mean, have you seen any kind of waning in your business? Anything that particularly gives you concern, relative to Zumiez business rather than the overall noise we're hearing throughout apparel and mall traffic?
Richard M. Brooks: All right. I'll let Chris handle the Blue Tomato question, Sharon, and we hear you fine, by the way. And so as we look at the guidance that we gave for the third quarter, again, I want to reiterate that we feel pretty good about the 3% comp relative to the sequential improvement over July. And as Chris said, when you see an increase in transactions, dollars per trans, unit per trans, AUR is all rising, that makes us feel pretty good generally, Sharon. Now that being said, I -- if we look at the weekly cadence throughout the 4 weeks of August, we would tend to see that the beginning of the month was stronger than the end of the month. And I think furthermore, that as we think about what's going on generally in the consumer world today with where people are spending their money, that no new fashion trends out there really, in terms of major drivers of the business. I think from our perspective, we, as we said in the comments, can envision that consumer spending might revert back to the pre-back-to-school trend line. And I think that's what's reflected in our forward guidance relative to the 0 -- or flat to 2% comp number for the full [ph] Quarter. Chris, you want to talk about Blue Tomato and any color there?
Christopher Codington Work: Sure. Yes, absolutely. As we said in the prepared remarks, Blue Tomato sales in the quarter were right around $6 million. And as you recall, their business is heavier weighted towards the winter season in the late Q3 for us and Q4. From an overall perspective, their comp from July forward is in the comp guidance that we gave. But what I can tell you is that in a pretty tough European environment, they've performed very well and comped positively. So we're still encouraged by where they're at. But it is a tough environment over there. So they're comping positively ahead of the overall chain and are included in our numbers we provide today.
Operator: Our next question comes from the line of David King with Roth Capital Markets -- Partners.
Isela Soto - Roth Capital Partners, LLC, Research Division: This is actually Isela Soto on for Dave King. If you could just talk a little bit about the promotional environment and what you're seeing there.
Richard M. Brooks: Sure, I'd be glad to do that. I mean -- I guess, the story with back-to-school is the same story that it's been for the last few years, which is that it's been incredibly promotional in the teen sector. And our whole goal, as we've always said, is to position ourselves so that we don't have to be as promotional as the rest of the mall. And I think we continue to do a pretty good job around that effort. I think that's reflected again in 3 comp and again the strong stats that Chris mentioned in his comments relative to, again, gain in transactions, gain in AUR, DPTs and UPTs. So we feel pretty good about our own positioning and I guess I would say, our reason we are able to achieve that positioning is that we've always had a really simple goal, which is we want to represent our brand partners well and we want to be the go-to place for our branded partners through having a unique, really distinctive culture and great sales experience in all of our channels of business. And that those things, when done right and being a preferred partner for our -- preferred retail partner for our brands, allow us to be more full priced in back-to-school, not only full priced but our goal is to be full margin. And so as you see us construct promos around the back-to-school window, that is still our goal, in terms of what we're trying to do from a product strategy point of view. So it puts us in that unique position, where I think, in spite of an incredibly competitive price-sensitive environment, we are able to distinguish ourselves in ways that I think a lot of retailers can't. As we look at the longer-term scenarios, I -- again, do we see this price competition waning over the next few years? We haven't in the past few years. My inclination is to say we won't over the next few years, and I think it's fundamental to some of the things we've been talking about for a very long time in our calls, which is that we think the last few years have been about share consolidation of the marketplace and next few year's going to be about share consolidation, driven a lot by fundamental changes in consumer behavior relative to new technologies, driven by -- and that technology driving people more to the direct channel, which is our -- which is why we have such a strong emphasis on omni-channel and our positioning there. It's why we believe that winners will win in this share consolidation game, that continue to win if you execute at a high level. And it's fundamentally why we think that this is going to be a very competitive marketplace. I -- at the root of it all, I think there is still, particularly in the teen world, too many stores. So longer term, I think we're going to be facing a competitive marketplace and our goal is to really go out and be uniquely positioned. And I think August is reflective of that -- of our ability to do that.
Isela Soto - Roth Capital Partners, LLC, Research Division: That's helpful. And then if you could just talk about the negative footwear comp in August. We thought it would have been stronger, given the strength of certain key brands at other retailers?
Richard M. Brooks: There's -- certainly, I'd give a little bit of color around that is for us, we're still facing some trends relative to the performance footwear, athletic footwear in that area. Although our biggest issue in footwear over the August time period related primarily to our women's footwear side and less so on our men's.
Operator: Our next question comes from the line of Dorothy Lakner with Topeka Capital Markets.
Dorothy S. Lakner - Topeka Capital Markets Inc., Research Division: Just a question, Rick, about juniors versus young men's. I mean you saw a nice positive comp from young men's but juniors has been positive for some time. A lot of other teen retailers seem to be having their problems with that girl's business not the young men's business. So do you have any thoughts on what's going on there and how you're able to really get both businesses going at a kind of critical time for your business?
Richard M. Brooks: Sure, I have thoughts. I do have thoughts about it, Dorothy. Now as always, I'll caution whether or not my thoughts have much substance to them, but I'll give you certainly my perspectives on where we're at and why I think we're seeing what we're seeing in the women's -- in our women's business and generally, maybe more broadly in the women's business. I think to a certain extent, what we're seeing in our women's business is a combination of really 2 things. There's no doubt that we're executing at a much better level than I would say we did 3 and 4 years ago. And over the last few years, we've talked about some of the change we've made in how we're managing the business internally, our change in our staffing. I think we've come up with a better, long-term strategy in what we're trying to do with our women's product. We've become faster in terms of how our -- how quickly we're moving on the women's side of the business. And I think we found a good way to do all those things and be consistent with our lifestyle orientation, which is very important to us as a lifestyle retailer. Now beyond our -- the second thing, I think, beyond our own ability to execute, I think there are just some cyclical trends. I think that while fast fashion is still huge and driving a lot of volume, I think there is a trend back towards young women wanting to see more brands, perhaps better quality, in some of the clothing that they're -- that they wish to purchase. And so I think that's why you're seeing us the item focus in some key areas in our business, as well as value focus in terms of how we think about putting those outfits together for our young junior consumer. So that's, in a nutshell, kind of my take on it is the macro side of it kind of what's going on. And I think you see that generally, I think that those of us that resell brands are doing a bit better on the women's side of the business and finding ways to put together compelling strategies there. And those that are predominately just fashion-based are in a very competitive marketplace.
Dorothy S. Lakner - Topeka Capital Markets Inc., Research Division: Yes. And on the young men's side, would you say it's a question of that particular customer is more -- kind of more volatile, more here at sometimes, kind of absent at other times versus the junior customer?
Richard M. Brooks: I think, again, we have some -- we have our -- as usual, our own issues in men's relative to the strength -- to the historical strength of our men's business, Dorothy, which is, as you know, the largest part of our business. And we have some challenging numbers we're going against in men's over the last few years. So we have issues relative to some of the trends there in men's. But I think what is encouraging to us is, again, as we said in -- about the August results, as you saw our men's business trend positive and comp positive in August and I do think that speaks to what you're describing, which is a young man that -- in this world buys when they need to buy -- back-to-school they need to buy.
Operator: Our next question comes from the line of Betty Chen with Wedbush Securities.
Betty Y. Chen - Wedbush Securities Inc., Research Division: I was wondering, in looking at August and I know it's 1 month and certainly there were some drivers to get the traffic into the stores. But Rick, in looking back and with all the metrics trending upwards during the month, were there any learnings for the team to think about some strategies to executive in the back half during some of the low periods to continue to entice that customer? And then separately, in terms of the omni-channel initiative, can you share with us any sort of read so far from the revamped website? And then what are some initiatives that we can still expect to happen in the back half? Since I think Chris had mentioned ecomm did increase by 19%, which is a really robust number.
Richard M. Brooks: Okay. Let me see if I got all that, Betty, and Chris will help me out here as needed. So we'll start with kind of learnings from back-to-school as we look into the back half of the year, particularly around what did we learn that could drive volume in the lower -- in perhaps the lower-volume time periods. We -- to be clear, we're not sitting still trying not to drive volume -- we didn't by the way, Betty, in the first 6 months of the year. I mean, we're thinking about the way we can communicate with our customer to try to present them with unique products that are -- will entice them to come in and purchase. But again, I think it's kind of, as Dorothy was saying in her comments, I think it's kind of young men tend to buy, which is still the predominant piece of our business, tend to buy based on need. And I don't think there is a lot of unique fashion for young men right at this point in time and while we have a lot of brands that we're very excited about, up-and-coming brands that we see great opportunity with and some well-established brands that continue to perform well, there just hasn't been a lot of newness in that side of the business. So we are not going to stand still as we look into the back half of the year. We'll continue to try to do things through uniqueness of positioning. For those consumers who want value, we'll try to deliver value messages to them. We're in the beginning phases now of having anniversaried our Stash program, our loyalty program of seeing how you can use those -- that information and those consumers to, again, appeal with more relevant messaging for them. So we're at the very early stages of that effort, Betty, as to how we'll do that. And again, our primary emphasis for Stash over the first year has been just acquiring members into the program. So now we're moving from that to how can we really serve these members better through more relevant messaging and really delivering product that they find of value and is relevant for them. So we're working hard to do all those things, and we're going to try to do all those things as we look at the back half of the year. Comment on the revamped website. I mean, we had a few objectives with the revamp of both the zumiez.com and Blue Tomato sites. And first and foremost was to provide a platform that would be -- have greater stability and higher levels of uptime performance and performance across all the statistics. For what we anticipate over the next year and few years is going to be much, much higher volume for these platforms. So that was really a very simple important goal for us. And in both cases, we upgraded our platforms to the more current versions of the underlying platforms used in both sites. So again, that was really mission 1: Let's improve the stability, improve the performance levels and because we expect that the direct channel is going to continue to grow over the next 5 years. So let's position ourselves, so we're in a good position to handle that growth. The second element of the websites was to, again, position ourselves for the website as the foundational pieces for our continued omni-channel evolution. So we have lots of things that we're doing there. We're way more developed in the U.S. as you would expect than we are in Canada or Europe because those are growing businesses at this point in time and we need to establish the base of those businesses before omni-channel really becomes a major relevant piece of it. So -- but we are looking at how we're positioning ourselves through these new websites for further evolution, again, within our omni-channel efforts, which takes us to the last part of your question, which had to do with the back-half omni-channel initiatives. And we have a number of them that we're shooting for in the back half of the year. I'm not sure, again, based upon how aggressive we try to be here, whether we'll get all of them. But right now, our efforts are primarily focused on omni-channel features that we'll be putting into place at this point for holiday. I'm not going to go into much detail about what those omni-channel efforts are going to be because that's a competitive issue for us. But we're encouraged, and I'll just remind everyone what I frequently say about omni-channel efforts was, which is a simple message, is that even if at some point in the future years we get up to 15% or 20% of revenue in the direct channel, that still means that 80% to 85% is going to be in our store -- in our physical store environments. So I -- and in that world, we are making sure that technology serves our customers and serves our sales people and does not go in front of those real human-to-human engagements. So we're keeping that idea at the -- central to what we're doing in terms of how we're building our omni-channel efforts, of really using technology to support human interaction in the physical in-store environment. And the things we're doing, we're seeing very good results from, Betty. We're very pleased with our results there, but we have a long ways to go. I would tell you we're still in the early stages of how omni-channel is going to play out over the next 5 years. And again, I'm very encouraged because I think the quality of your -- what people underestimate is the importance of the quality of sales teams in the physical stores. That's what really is going to drive omni-channel, because that's where most of the volume is going to be. That's still where most of the customers are going to be even over the next 5-year window. And we clearly excel at that -- at serving customers at a very high level in our physical stores. So we have a long ways to go. I still think we're in the early phases of omni-channel. No, I'm not going to talk about the details of what we'll be doing for fourth quarter. We're excited. We have a lot more to do for fourth quarter. We have a lot more to do over the next few years. So much, much more work to come.
Betty Y. Chen - Wedbush Securities Inc., Research Division: That was really helpful, Rick. Can I sneak in a quick question for Chris there? When you mentioned that this will continue to be a heavy investment year, does that mean that we should look for the back-half SG&A growth to kind of be in line with the first-half run rate?
Christopher Codington Work: Yes. Actually, the SG&A growth will be down slightly from the first-half run rate and the main reason there is because part of our investment this year is bringing Blue Tomato into the fold for the full year. And as you can imagine in a growth business, they're operating at slightly lower margins. And so we are now anniversarying that. So while there's still investments that we have in the back half of the year, the growth rate shouldn't be as substantial as it was upfront.
Operator: Our next question comes from Ed Yruma with KeyBanc Capital Markets.
Edward J. Yruma - KeyBanc Capital Markets Inc., Research Division: Rick, it seems like other retailers are starting to copy from your playbook of getting exclusives from some of these emerging or kind of more in-demand brands. I guess, how do you think about that as a strategy for Zumiez? And has it been more difficult, given that others are trying to copy some of these strategies?
Richard M. Brooks: Well, I guess I -- my initial response to the question, Ed, is -- this is -- that's always the nature of world. What's really important is that you clearly want to be the retailer that people copy. I think that's foremost that -- in our mindset, which is let's always be out there, let's always be thinking about what's next, let's always be engaging with our brands and our customers in interesting new ways. And we think about that not only in what goes on in an in-store environment, that's what we think about relative to our omni-channel experiences and how we think about what we do online, whether that be at our web store or our marketing efforts through social channels or the physical marketing efforts. We want these brand experiences to be unique. And so while others may copy us, we are going to continue to see us push ahead, evolve. And you're going to continue see us experiment with new things, as we work over the next few months and the next few years. So I'm pleased that we're in a position that people are copying us, I guess, is the top most important message in responding to your question, Ed.
Edward J. Yruma - KeyBanc Capital Markets Inc., Research Division: Got it. And you're a little bit different than some other retailers because you offer what you entitle Zumiez Outlet product online. I guess, especially as online grows in its contribution to the overall business, how do we think about the mix of full price versus discounted goods? And do you expect that mix to change over time?
Richard M. Brooks: Sure. So again, thinking about this online discount business -- I'll take your -- broaden your question a bit. My answer to your question a bit more broadly, Ed, is when we think about our outlet business, our discount business, right? Again, as I said, while we do have some liquidation to do, our goal is always to minimize liquidation we have to do to try to maximize margins and, in some cases, buying the product for our outlet efforts, whether that be product we're making with our branded partners for that purpose or our off-price buys we're doing with our branded partners. So our goal is to optimize the discount business relative to whatever channel makes most sense. So there are some categories of product, where we are much more effective selling at -- in the online world than we are in the physical world. And others, we're more effective liquidating product or selling discounted product in the physical world. So I think from my perspective, this is one of those areas that we, with some hard work and effort that we can actually improve in our business over the next few years, is how we think about running the outlet side of our business. I think we can manage it more intensively than we have. I think we -- again, using what I think are probably our industry-leading assortment planning tools here, that we have some real opportunity in increasing the effectiveness of this business in all channels. So over the next few years, Ed, I'm hoping that -- again, we want all channels to grow in this world. And I'm hoping there's lots of ways we can continue to deliver value to our consumers at -- again, at full margins for us and -- while at the same time helping our brands out in terms of being able to liquidate product. So -- and again, we want to do it in whatever channel makes most sense at the highest margins for everybody. And that simply is a long way to say, but that's what our goal is. And again, we're trying to look at holistically and not on an individual-channel basis but on an integrated-channel basis.
Operator: Our next question comes from the line of Steph Wissink with Piper Jaffray.
Stephanie S. Wissink - Piper Jaffray Companies, Research Division: Just a couple of questions on specifically the merchandise margin guidance. I think, Chris, you mentioned flat to down slightly for the year. Is that based on mix? Or is that something pricing-related based on the promotional cadence that you have? And then the second just as a follow-up, I think you also indicated, Chris, that same-store sales, if they are positive for the year, would imply some operating profit improvement year-on-year. Is that operating margin as a rate? Or are you talking about profitability in total dollars?
Christopher Codington Work: Yes, great. So I'll start with the margins -- or the merch margins, I said they're -- they'd be down slightly. That's excluding the inventory step-up charges that we took in the prior year. And as you know, our margins last year were some of the highest margins we've ever had. And we also -- so we're anniversarying some pretty strong margins in the prior year. There's always mix shifts as our categories move throughout the year, which is part of it. I think the other piece of it is Blue Tomato, at this point, is operating slightly lower than our North American margins. So as we include that as a higher percentage, it will pull down the overall margins. So it's really the 2 pieces there of being up against really strong margins in the prior year and then our Blue Tomato business coming into the fold. In regards to the operating remarks that I made is, assuming we have same-store sales, we expect to have higher operating dollars. As we mentioned with the investment year, we do expect to deleverage slightly. But we think we can provide a higher dollar range on a positive comp.
Operator: Our next question comes from the line of John Morris with BMO Capital.
Janine Stichter: It's actually Janine Stichter on for John Morris. I was just wondering if you could talk a little bit about the cadence of back-to-school spending. I know in past years, you've called out the fact that you felt like the customer was shopping later and later for back-to-school. And I want to know, based on kind of what you saw in your stores, if you felt like that was happening this year? And if so, how you're thinking about September?
Richard M. Brooks: All right. So again, I'm not going to make it any comments beyond what I have already said, which is that we actually saw our sales decelerate across the 4 weeks of August or comps decelerate across the 4 weeks of August. And again, that thinking is filtering into our guidance that we provided for the full [ph] quarter. And again, as we said, we're not -- we think there is a possibility that with -- where the consumer is at, at this moment, buying higher-ticket items, that we could see it revert -- we could see consumer spending and our sales trend line revert to where we were in the nonpeak periods. So those pieces, Janine, are what are underlying that overall guidance. And we're not going to comment any more than what we've already said.
Operator: Our next question comes from the line of Christian Buss with Credit Suisse.
Christian Buss - Crédit Suisse AG, Research Division: I was wondering if we could talk a little bit more about the guidance. Backing out the $7 million impact from the shift in sales, it implies a fairly substantial uptick in the comps into the double digits in August. I'm trying to understand how much conservatism is baked into the comp guidance of 0% to 2%.
Christopher Codington Work: Chris, I'm not sure I fully understood the question. Are you saying you're coming up with a high comp for us -- or for Q3?
Christian Buss - Crédit Suisse AG, Research Division: Well, that 3% comp includes -- for August includes a drag of $7 million, correct?
Christopher Codington Work: No, no. The $7 million shifted into Q2 and out of Q3. So when we talk comp, we're talking really date-to-date not the calendar overall.
Christian Buss - Crédit Suisse AG, Research Division: Okay. So you're adjusting that.
Christopher Codington Work: Yes.
Christian Buss - Crédit Suisse AG, Research Division: All right, that's helpful. Can we talk a little bit about systems investments that you've made? Where are some of the initiatives towards regional merchandising going? Can you talk a bit about what upcoming plans you have to improve the assorting and the regional merchandising abilities?
Richard M. Brooks: Sure. I'll take that, Christian. And again, as I frequently say here, relative to our thinking our assortment planning is, we -- I think we're, again, one of the best at micro-sorting of stores. And we don't think about just in retail level, we think about it more and more on an individual store level. So I always wanted to try to encourage you to think about our abilities here on a continuum. Because this is something we've been working on for the entire 20 years I have been around Zumiez. And every so many years, we need to think -- we take a look at what we need to do to support our buyers and based upon what's going on in the market, not -- which include the scale of our business, as well as changes in the marketplace. So the tools that we put in place about 4 years ago, which when we started making the latest upgrade to our assortment planning tactics, which was a tool we put in place about 4 years ago and then we spent the last few years implementing, I tell you today that it's essentially fully implemented, that we are working through and constantly evolving our ability to micro-sort stores. I would tell you we had some very, what we believe is -- as will -- early indication of back-to-school that we had a few key categories where we were able to use the tools in new ways at a very, very detailed level that were very encouraging to us in these categories. Now it's early. We'll wait until we get completely through back-to-school to make our full assessments there. But we are working at -- again, this is not a place we made investments for stopping. This is, we constantly are looking at how can we continue to evolve what we're doing. And I tell you that 4 years ago, we didn't fully appreciate -- we knew we needed to improve our planning abilities to micro-sort locations. But I don't think we thoroughly understood what the shift towards the omni-channel business meant in terms of our -- how important the change in implementing this new tool was. And it's become even more important as we think about planning in a channel-less world, right, and how we think about our business from that -- from planning our overall perspective. So we're going to continue to evolve there, Christian. I think we have some -- we have a really good roadmap for the next, I would tell you, 2 or 3 years in terms of what we need to continue to do, in terms of micro-sorting stores. I think there's still tremendous amounts of opportunity. In fact, I can never see the opportunities waning here. We can get better and better and better at how we think about micro-sorting stores. Do we have any new investment we need to make here? I don't think of any great significance. No, I think that the tool we put in place, we will be making regular investments in it but not of a major dollar -- no major dollar investments, as far as I see at this point in time, are going to be required to further enhance what we're doing. It's more how we execute now and then enhance the tool on an incremental basis than any major dollar expenditures that we'd be looking at.
Operator: Our next question comes from Paul Alexander with Bank of America Merrill Lynch.
Paul Alexander - BofA Merrill Lynch, Research Division: Chris, just a follow-up on this topic of investment. Looking further out, do you see this as -- do you see this just as a heavy investment year? Or do you see Zumiez as being in an heavy investment phase that could last multiple years? When should we think about the investment entering a less heavy phase or losing the word heavy?
Christopher Codington Work: Thanks, Paul. It's something that we think about a lot as well. Clearly, the growth we're going through in Europe is part of the investment we spoke about, and that will be something that will take time. It's a long-term investment. As we're looking at it, while we always plan some investments in every year, this year, it has more of an investment than others. And I think as we think to the future years, there's going to continue to be some level of investment. And at this point, we don't have an expectation that it's greater than this year. But we'll continue to evaluate that as we determine what we need for our business long term. But again, I'd just add to that, when we think about these investments over long term, we look at these investments as things that we think will pay back over the longer-term model. And that's why we think they're important to do, and so we really look at it with a longer-term focus.
Richard M. Brooks: And I guess I'd add to Chris' comments, Paul, that we'll give you greater clarity as we go through the planning process for '14 here and as we get into March of next year. But I would tell you, as the CEO here, right, that you're constantly paranoid about where you're at and how fast the consumer world is changing. We need to continue to evolve and move quickly just like my comments on assortment planning a moment ago. We've got a great platform in place, but we got to continue to work really hard. And the world -- I would tell you from my perspective, you can't run -- we're running harder and faster than we've ever run. And so -- and that means, as we think about investments, they're really going to fall into 2 areas: capital investments, right, and where it be new locations as Chris said or investment in Europe; and human investments, where we're going to need to look at can we grow the talent we need to do the kind of things we need to do? Or do we need to make investments in talent in specialized areas to really move the ball forward in some of these ways that are going to be required by consumers, particularly from the perspective of omni-channel? So from the paranoid CEO, worried that we have to continue to push harder and go faster. You're -- as Chris said, we're going to continue to see investments but the goal is that they're going to have a payoff -- a significant payoff, as we continue to see over the next 5 years, our business grow and operating margins increase.
Operator: Our next question comes from the line of Jennifer Black with Jennifer Black & Associates.
Carla White: This is actually Carla White for Jennifer Black. Just a couple of questions, can you talk about -- I know you briefly talked about, Rick, the Stash loyalty program. But can you talk about what you're seeing so far, as far as buying trends, and any learnings that you had since you anniversaried that program?
Richard M. Brooks: All right, I'd be glad to do that, Carla, and give you some sense of where we're at. So it's been a, I would tell you, a good first year for us with Stash. The -- again, as I said, the primary emphasis has been on acquiring members in the program. And as you know, we're trying to do something fairly unique here, brand appropriate for the Zumiez brand and brand appropriate for our branded partners because our goal, again, is not to discount. It's to provide unique experiences and unique products for our Stash loyalty members. So again, the first year has primarily been a focus on let's really sign people up and this gets back to the quality of your sales teams in your stores, people to be able to sell the approach, explain it because it isn't just as simple as get discounts. That's been -- that's an easy -- the thing we have to explain seems a little bit more complicated. But through just -- going through the first year, which we anniversaried in early August, we achieved the 1 million member mark in Stash, which we're pleased with and think is a good first-year milestone for us. We are now going to move, and we're in the process of building out -- and this is, as I said earlier, one of those areas where we also look at your internal talent needs. So we've added some talent to our team, who has experience with loyalty programs. And we're now in the process of saying, "Okay, we're going to move beyond the" -- don't get -- we will continue to add new members to the program. But now we're going to move beyond how do we really engage in all new ways and find ways that we can relevant our -- these consumers in relevant ways for them, in not only what we may want to offer them in terms of experiences or product, but doing it to make sure we're doing the right channel that each consumer prefers. So we're now moving into that planning phase of the program, and we're excited about that opportunity. We think, again, over the next 3 years, 3 to 5 years, that the Stash program has a lot of potential for helping us build our business.
Carla White: And then can you talk about your Canadian stores and what you're seeing there as far as maybe traffic trends? Any additional color you could provide versus your -- the North America stores?
Christopher Codington Work: Yes, great. In regards to Canada, I would say we are really thinking about that as North America, at this point, we're about halfway through our growth process here. And our Canadian stores are operating on plan, where you think they'd be. Their comp rate is above the North America chain, which would make sense where they are in their growth curve. And as their -- our first stores there are just getting to where they would be in that more mature level. And so Canada is performing on plan, and we're happy with how it's operating.
Richard M. Brooks: All right. Are there any additional questions?
Operator: Our next question comes from the line of Tom Filandro with Susquehanna Financial Group.
Thomas A. Filandro - Susquehanna Financial Group, LLLP, Research Division: Two quick questions. Can you give us any update on the private-label business, how that penetration has been like year-over-year? And any go-forward plans? And I was just curious in August, did you experience any regional variance in the business?
Richard M. Brooks: All right, Tom, glad to take a shot at it, although I'm not going to give you much flavor about that. And you've heard me say over the years that we don't like to talk about private label on a seasonal basis because you really got to measure it on a full-year basis, because different categories sell [ph] at different levels. So anything I'd tell you relative to August may not be representative of a full year. So last year, essentially, we're pretty close to flat in private label, as a mix -- Chris, what was the number for private label last year? About...
Christopher Codington Work: 17%, 18%.
Richard M. Brooks: 17%, 18%. I think just under 18% of our mix. And I think it actually declined just slightly, maybe a tenth of a point, something like that, Tom. We are always looking at how we can grow the private-label business, but not -- so I'm clear, not at the expense of our branded business. We like to see both grow, right? And private label, again, from our point of view, serves to complement and supplement what our branded partners do. So nothing's really changed, if you think about it. We'd love to see it grow. It's grown over the last 5 years, but so has our overall business. So we like to see both brands and private label grow. From a retail perspective, I mean we're not going to get too detailed about comments there because that's always moving all over the place. So I don't have any great light. I don't know, Chris, if you want to add anything there.
Christopher Codington Work: No, there's nothing significant to call out.
Operator: With no further questions, I would now like to turn the call back over to Mr. Rick Brooks for closing remarks.
Richard M. Brooks: All right. Thank you, Crystal. And again, we appreciate all the questions and comments today. And we have another week or so of back-to-school to go and then we'll be looking forward here over the next couple of months to finish this Q3 and planning and planning for -- as you would guess holiday has been well under way and we'll continue so. And we'll be looking forward to talking to you at the third quarter conference call in late November, early December. Thanks, everybody. Much appreciated.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Have a great day.